Operator: Good day, and welcome to the ASM International Q4 2017 Earnings Call. Today's conference is being recorded. And at this time, I'd like to turn things over to Victor Bareno, please go ahead.
Victor Bareño: Thank you,. ASMI issued its 2017 fourth quarter results last evening. For those of you, who have not seen the press release, it, along with our latest investor presentation, it's accessible on our website, asm.com. We remind you that this conference call may contain information relating to ASM's future business or results, in addition to historical information. For more information on the risk factors related to such forward-looking statements, please refer to the company's press releases, reports and financial statements, which are available on our website. Today's call, will be led by Peter van Bommel, Chief Financial Officer of ASM international. Unfortunately, Chuck del Prado, our company's President and Chief Executive Officer cannot be with us today because he's recovering from the flu. Chuck sends his apologies for not being able to attend today. But he's looking forward to attend the next call, again, in April.
Peter van Bommel: Thank you, Victor, and thanks to everyone for attending our fourth quarter and full year 2017 results conference call. And for your continuing interest in ASM International. So let's start with a review of the highlights of 2017. Looking at the company's financial performance, 2017 was a year of recovery in our ALD business. In particular, driven by strong increases in the 3D NAND segment. 2017, we also successfully increased our addressable market in epitaxy as we rolled our first leading high volume manufacturing customer for our new Intrepid too. Initial cost related to new product launches impacted to the gross margin but we still increased our operating profits by 38% in 2017. During the year, we also reduced our stake in ASMPT. We did that in two steps, from 39% to 25%. And we are returning the proceeds to our shareholders, including the capital return and the new share buyback program that we announced yesterday. Backed by further progress, we made last year in important strategic areas, we expect our company to outgrow the very rapid market in 2018, which market watches currently expect to increase rates on an average or high single-digit percentage. We would like to thank our employees for their continued commitment and hard work during the year. Let's now review our fourth quarter and full year 2017 financial results. Starting with the fourth quarter. Net sales in the fourth quarter came in at €206 million, 11% from the third quarter and up 19% compared to the fourth quarter of 2016. Sales in the quarter were at the higher end of our guidance, which was a range of €190 million to €210 million. In terms of product lines, the key driver was our ALD business, at some distance followed, by Epi and PECVD. By industry segment, the revenue stream in the fourth quarter was led by memory customers, largely 3D NAND, followed by foundry. The gross margin decreased to 39.3% compared to 40% in the third quarter. The third quarter results, we discussed that initial cost of the new products in Epi and PECVD negatively impacted the gross margin in the third quarter at 5 percentage points. And that the negative impact would continue for the next few quarters. In the fourth quarter, we have again a negative gross margin impact from the new products. We have moderated 2 or 3 percentage points. On the other hand, our margin in the fourth quarter was negatively impacted by a few incidentals, making up for approximately 2 percentage points and relates to some specific cost we are making in relation to new product introductions and obsolescence. Operating income of €35 million increased 17% year-on-year, and by 36% compared to the third quarter. Financing results in the fourth quarter was €5 million negative due to a currency translation loss of the similar size. As a reminder, we keep a substantial part of the cash balances in U.S. dollars and its related translation differences are included in the financing results. Financing results, included the translation loss of €8 million in the third quarter, and again of €19 million in the fourth quarter of 2016. Out net earnings of €225 million in the fourth quarter of 2017, included a net gain of €184 million, related to the sales of a 9% stake in ASMPT last November. Excluding this gain or non-Allies net earnings amounted to €46 million in the fourth quarter, compared to €48 million in the third quarter and €69 million in the year-ago period. Let's now have a closer look at ASMPT. During the fourth quarter, we reduced our stake in ASMPT from 34% or 25% percent. On November 2, we announced that we sold 37 million shares, our stake of approximately 9%, for proceeds of approximately €445 million. This followed on the sale of a 5% percent stake in April 2017 for proceeds of approximately €245 million. We continue to regularly review our shareholder in ASMPT with the focus of long-term value creation. Our view of the significant stake in ASMPT is of strategic importance at this stage of the company remains unchanged. In line with the commitments, that we communicated last November regarding the proceeds of stakes sale, we announced yesterday, that we will propose to the HEM 2018, the repayment of €4 per share in capital to the shareholders. And this repayment will be effectuated to be free of dividend withholding tax. In addition, we also announced that the attempt to launch a new €250 million share buyback program. If we then look at the results from investments, which reflects the share of the net earnings from ASMPT. The fourth quarter, these amounted to €40 million, down from €32 million in the third quarter. And €18 million in the fourth quarter of 2016. These decreases strongly impacted by the reduction of our stake. The figures exclude the ongoing PPA amortization charge, which amounted to €5 million in the fourth quarter, are excluded from the numbers. For 2018, this amortization charge is projected to be €13 billion. In the fourth quarter, ASMPT reported sales of $542 million, and bookings of $497. Sales were per seasonally down by 17% from the third quarter but increased 19% compared to the fourth quarter of 2016. This year-on-year increase was at the higher end of the low to high teens percentage increase that ASMPT has guided for. On a 100% basis, and excluding incidentals, ASMPT's net profits increased 22% year-on-year and decreased 45% compared to the third quarter. Now turning back to ASMI's consolidated operations. We booked €203 million in new orders during the quarter, which is up 27% from the third quarter, and up 15% from the fourth quarter of 2016. This number are so comparably exceeded our guidance for the fourth quarter, which was a range of €170 million to €190 million. ALD was the main driver in the order intake of the quarter. But we also recorded a healthy level of Europe, including vertical furnaces. By industry segment, the equipment orders in the quarter were led by memory, largely 3D NAND, followed by foundry and logic. Bookings in all segments increased compared to the third quarter with a strongest increase in logic. Bookings also picked up in DRAM but are still good a few below and in absolute terms. Now let's discuss the full year results. Our net sales in 2017 increased by 23% to a new record high of €737 million. Sales were led by our ALD product line, which continued to represent clearly more than half of our equipment revenue. The epitaxy product line showed very strong growth, driven by sales of new Intrepid system. PECVD also showed strong growth. Looking at the ranking of the industry segments for the full year, sales were led by the foundry segment that recorded the further sales increase during the strong growth in 2016. Foundry was followed by memory and then logic. And memory, sales were for the largest part related to 3D NAND that showed a very strong growth compared to 2016. Gross margin decreased to 41.5% in 2017, compared to 44% in 2016. This decrease is fully explained by the initial cost of the newly introduced products in our epitaxy and PECVD activities. Excluding this impact, out gross margin would have been stable in 2017. We are confident that this is only a temporary effect. Margins of the new products are on track to improve and as a result, we expect to gross margin for the total company to normalize again in the course of 2018. Operating expenses remained in the controlled during the year. SG&A expenses increased by 13% and decreased as a percentage of sales from 15% in 2016 to 13% in 2017. The total R&D expenses increased by 2% and also dropped as a percentage of sales from 15% to 13%, which is in line with the structural target of low to mid-teens percentage. The operating cost for the full year increased 38% from €82 million to €113 million, and the operating margin improved from 13.8% to 15.3% in 2017. The results from the investment on a normalized basis increased from €68 million in 2016 to €112 million in 2017. The total sales as reported by ASMPT increased by 23% to $2.2 billion in 2017. Sales of the back end equipment business increased 19% in 2017. This growth percentage was impacted by the LED market, which contracted in 2017 as customers needed time to digest a new capacity is installed in 2016. ASMPT performed very well in segments versus camera, image sensors and 3D sensing advanced packaging and Sam's packaging and power management applications. Sales of the SMT solutions increased by very strong 31% for the full year, driven by automotive, industrial electronics and the latest upgrade cycle in smartphone markets. ASMPT increased gross margins from 37.6% in 2016 to 40.2% in 2017, excluding incidentals on a 100% basis, ASMPT increased net profits by 70%. If we then look at the consolidated numbers again, our normalized net earnings increased 17% to €190 million in 2017. On a per share basis, the normalized net earnings increased 21% to €3.22 per share. Let's look at our balance sheet now and our cash flow. At the end of December, the cash amounted to €837 million, which is up from €525 million at the end of September. This increase is mainly explained by the €445 million cash proceeds of the 9% stake sales in ASMPT last November, which is partly offset by €137 million in cash used for share buybacks during the quarter. For the full year 2017, free cash flow amounted to €32 million, approximately stable compared to 2016. The development in the free cash flow was held back by rising working capital and an increase in CapEx. At the end of December, net working capitals stood at €171 million, which is up from €157 million at the end of 2016. The number of outstanding days of working capital, measured against quarterly sales decreased from 81 days at the end of 2016 to 75 days at the end of 2017. The rising working capital as explained by higher accounts receivable due to the back half weighted character of sales in the fourth quarter of 2017, which was even more pronounced than in 2016. In addition, inventories increased June 2017, and reflected a higher activity level, including new products in epi and CVD. The capital expenditures increased from €26 million to €48 million in 2017. For a large part related to the increase in our R&D activities. We're stepping up investments to prepare our company for the next stage of growth. In the last several years, we could largely accommodate the increase demand within our existing facilities to grow to a structurally higher levels, we plan to increase investments in the fourth coming period. ALD continues to be an attractive growth market in epitaxy PECVD, we now also have good opportunities for further expansion. Investments will include the construction of a new facility in clean in Korea, and a contraction of new manufacturing facility in Singapore. These investments had the first impact in 2017, and that leads to higher CapEx in 2018 and 2019. Looking at the share buybacks, in the fourth quarter, we spent €137 million to repurchase approximately 2.4 million of our own shares. Last August, we completed our third consecutive €100 million share buyback program. In September, we started a new €250 million share buyback program, using the proceeds of the 5% stake and ASMPT that we sold in April 2017. By the end of 2017, this buyback program was 60% complete. And at the end of last week, this program was nearly completed. As part of this program, we have so far repurchased 4.2 million shares at an average price of approximately €57 per share. During the full year 2017, we used a total of €281 million in cash for dividends and share buybacks, which is up from the €140 million in 2016, and in line with the continued commitment to use excess cash for the benefit of our shareholders. As mentioned earlier, we will propose for the 2018 AGM, a tax efficient capital repayment of €4 per share. We also announced that we will propose the cancellation of 6 million shares, this will reduce the number of issued shares by almost 10%. In addition, we will propose a regular dividend of €0.80 per share, which is a 14% increase. And we also plan to launch a new 250 million share buyback program, to the AGM approval of the share buyback authorization. All in all, this means that we plan to return in 2018, more than €0.5 billion to our shareholders. Let's now have a more detailed look at trends in all markets. The rates of separate corporate market at a very strong year in 2017, rolling by approximately 30% in U.S. dollars terms. This growth was driven by primarily 3D NAND and DRAM. While, a very effective in expanding in the Logic/Foundry segment was relatively stable last year. Against this backdrop, the single day for ALD market showed a clear recovery in 2017, following the contraction in 2016. The Logic/Foundry segment with a single day for ALD market was relatively stable at a healthy level, following the strong increases in 2016. Customers in this segment further invested in the 10nm node. And also made their first investments in the 7nm node. During the year, we achieved total record selections for multiple new ALD applications for the 7nm logic/foundry node. We expect that these new applications will increase our addressable market for single wave ALD. In this context, I would also like to highlight, the excellent performance award to [indiscernible] last December as 1 of 7 equipment suppliers. The recognition of technology and performance in development of production at TSCM fabs. This follows the award that we received from TSC in February 2017, we are again very honored to have received this prestigious award. After the drop in 2016, our DRAM business remained at a relatively low level in 2017. While this was in line with our indications in the last couple of quarters, the performance of our DRAM business was disappointing compared to the higher expectations that we still have at the start of 2017. And also compared to the strong increases in the broader DRAM market. Investments of our DRAM customers increased in 2017. But they're mainly made within existing fabs with reuse of existing equipments as a result. This negatively impacted demand for new ALD patterning tool, in particular, as we explained in earlier calls. On the positive side, looking at 2018, DRAM customers are expected to invest in capacity additions, which are likely to drive some demand a new ALD patterning tools in the course of 2018. In addition, we have been broadening our R&D scope in the DRAM ALD market, beyond applications and patterning for which we expect the first results and the first half of 2019. 3D NAND was a main driver in the growth of single WAVE FOR ALD market in 2017. And it was also the main driver of growth in our ALD sales. We recorded very strong growth in our 3D NAND sales compared to a relatively low base in 2017. In 2017, for the first time, 3D NAND accounted for solid double-digit percentage of our total company sales. Looking at 2018, we are focused on serving the current full volume at the 3D NAND manufacturers. Taking a longer-term view, as customers consistent to even more complex higher stacked device generations, we remain confident that our 3D NAND segment will be an important driver of the long-term growth in the single wave for ALD market. Looking at our epitaxy business, 2017 has been an important year for our company. With the successful launch of the intrepid, we substantially increased our addressable market in epitaxy. As mentioned earlier, our Epi sales increased strongly compared to last year and more than doubled compared to 2016. Traction continues to be strong. The fourth quarter of 2017, sales again, included multiple Intrepid tools. At PECVD, we also had a solid year, following the new customer wins and 3D NAND market that we talked about earlier in 2017. In short, sales showed a healthy increase in 2017, driven by a clear recovery in the ALD market and strong increases in our Epi, PMP, CVD product lines. We made important progress in 2017, positioning our company for continued growth. We remained confident about our strong prospects in the ALD market. ALD is now firmly established as a key enabling technology, and has already attributed to the introduction of several device generations in the memory and logic/foundry markets. Looking at the roadmaps of our customers, the introduction of complex 3D devices structures and new materials and further scaling, will drive the need for more precise deposition of ultrathin and highly comfortable films. This place is the strength of ALD. And as a leader in the single wave of ALD market, our company remains well-positioned to capture the growth expected in this market. Now let's look at our guidance, it's included in our press release. For Q1 and Q2, on a currency comparable level, we expect sales, respectively, of €150 million to €175 million in Q1 and €200 million to €230 million in Q2. The broad range for Q2 reflects some uncertainty around the exact timing of individual tool shipments. For Q1, on a currency comparable level, and we expect an order intake of €190 million to €210 million. For 2018, MarketWatch is currently expected equipment market to increase with on average high single-digit percentage. We aim to outgrow the equipment market in 2018. At this point, we're happy to answer your questions.
Peter van Bommel: We'd like to ask you to please limit your questions to not more than 2 at a time. So that everybody has a chance to ask a question. All right, we are ready for the first question.
Operator: [Operator Instructions]. We'll go first to the [indiscernible] with Kempen and Co.
Unidentified Analyst: I have a couple but I will limit myself for two on the NAND side. You indicated in the last call, that you expects to know more about your positioning for the 96 lay out process at the market leader. So I guess we're now in early 2018, and we're all eager to find if you have succeeded. And my follow-up is that also on the same topic, I guess some of the other customers you have are looking towards strength decking instead of adding more layers. So to what extent is that sort of impacting your view on the longer term potential for the NAND market?
Chuck del Prado: Okay, the first question about NAND. Yes, with regards to the 96 layers, we indeed have continued to make good progress with the qualification of a new layer in the -- 90 layer device of the leading 3D NAND manufacturer. And the qualifications has been finalized yet, but in the meantime we have shipped in order to as part of this R&D engagement. And with regard to your double stacking. I think is too early to say what that impact might be. I mean that's a discussion, which is still in going in little bit customers and in the market.
Unidentified Analyst: Thanks, and maybe just a clarification on the first point. So it's still R&D tools at the moment, I mean, if you guys are qualified or not, but when do you expect the customer to start ramping this in volume? And when you expect the sort of meaning for this? Or is that the second half? Or is it already sort of in your order book guidance?
Peter van Bommel: We expect that to be somewhere in the second half of 2018.
Operator: We'll take our next question from Peter Olofsen, Kepler Cheuvreux.
Peter Olofsen: Two questions, for me on the outlook. First, the outlook for the full year. You operate in a U.S. dollar-denominated industry. So when you into all grow the market, should we then look at your reported sales in euro or should we look at the numbers in constant currencies? And then looking at the guidance that you've given for Q1 and Q2, what is driving the expected uptake in Q2? Is there one particular segment that will drive that pick up at sales?
Peter van Bommel: First of all, it will be little bit foolish to mention here that currency don't play an impact. But when you look to the guidance that we've given at paper for the first half of the year, then you take the midpoints, that's a principal. And that would lead to a sales of €385 million in the first half of the year when you compare that with €344 million that we did in the first half of last year. That shows a growth of 10% a euro. In euro terms. We have also there to take into account the dollar development. The dollars in the first half of last year was 109, of course, we are a dollar company reporting in euros. The dollars is now 122, 123. So the guidance, in short, the guidance that we have given in principal that -- with the current development of the dollars at, 122, 123 level, that we expect or so in euro terms to outgrow that market. Is that clarifying a little bit better?
Peter Olofsen: Yes, it is. And on the Q2 uptick?
Peter van Bommel: The uptick in Q2, it's more -- on this moment in a market, which -- where as well as the supply chain is fully loaded. Our customers are heavily increasing the capacity, so we see some shifts pull ins, pull outs, simply because capacity on certain moments are not fully ready. And that leads to the shrinks. That's the shrink that you're seeing. Towards the end of Q4 last year, you saw then, we expect now that we'll deliver a few tools less in Q1 and. That will come back in Q2 and in principles, a general uptick that you see in all of the segments.
Operator: We'll take our next question from Robert Sanders, Deutsche Bank.
Robert Sanders: Maybe, just coming back to the 96 layer question. You mentioned you're competing for 1 layer. In terms of restraint to quantify the opportunity here. How does that compare with the amount of steps that you are currently doing ALD for at Toshiba and SK [indiscernible]? Just so that we can understand how big this opportunity would be. Are you doing multiple layers with SK and Toshiba? And therefore, this may be not as big or is it proportionate to the size of the companies?
Peter van Bommel: Yes, I understand your question. But we rather don't provide that sort of competitive information.
Robert Sanders: Okay, and then I'll follow up would just be on your market share. Maybe I missed it. But do you think that you took back market share in 2017, relative, because obviously, last year, we all have this nasty surprise with finding out the lobster. I think it was 4 points market share. So what should it be this year around when we see that data?
Peter van Bommel: Yes, we are still finalizing our assessments of the growth of the ALD market in 2017. With our current expectations is we loss some market share in that area. That's mainly due to mix. We remain strong in a basically stable logic/foundry market in 2017 over 2016. In memory, we really made big invoices, as I mentioned earlier, in the prepared notes in the 3D NAND area. But also a part of that market we are not addressing, that was also growing strongly. And in DRAM, as I mentioned earlier, we have seen that we use of packaging solutions was impacting our strength and the non-patterning part has been growing. But we have not so solutions on that moment in the readily in the market available.
Operator: We'll go next to Marc Hesselink, ABN AMRO.
Marc Hesselink: My first question is actually on that a little bit like what you're facing within the year. You guys talking out the 3D NAND and 6 layer will be more in the second half of the year. And that's also communicates for DRAM? In but you still have a room for order intake? In the last call but you're guiding for the next quarter? So is has been applied foundry was very strong in the first half of the year and that you expect it to moderate? Or do you expect that to full year will be more a back end load? And the second question is on your cost outlook. You have pretty good cost control last year, what do you expect for the next year?
Peter van Bommel: Yes, okay first of all, the question about the second half. So I think yes, you mentioned already the 96 years and the DRAM activities that, indeed, we expect that to go further in the second half of the year, come across in the second half of the year. With regard to logic/foundry, we expect that, that market will relatively be stable in 2018 over 2017. So with that, I think that's the color that I can give about that. With regard to cost control, what you mentioned already earlier, I have indicated in the prepared notes that our SG&A cost are increasing a little bit. And that's aligned what I mentioned already in the previous calls. They will not increase substantially but we will add some people of a certain amount for specific projects and that will lead to some additional costs. So then our sales will increase then highly likely. So our SG&A cost as a percentage of sales will decrease. We have a big leverage in that. And with regard to R&D, we expect that to complete that and too low to mid-teens. So we ended the year at an average in 2018 -- in 2017 at 13%, and we expect to sell in 2018, that low to mid-teens percentage for R&D will be reached.
Operator: We'll take our next question from Tammy Qui, Berenberg.
Tammy Qiu: Firstly, I would like to understand in terms of the non-ALD market, such as Epi and PECVD, you have a rough estimation regarding what is your total addressable market?
Peter van Bommel: Yes, and with regard to epitaxy, what we have indicated earlier in principal, we were in the past all we dealing with a small segment of the market. There we had -- where we had a decent position so that was part of the market of €100 million. We are now going for the full seamless market. And that is a market, which is around the $600 million. So that extends as big as the market that we are serving so far and that's also -- that's very important or so, it's a market, which is going very fast in the forthcoming year period. With regard to PECVD. PECVD, as you know, Tammy, is a huge market. We are a niche player in that and we will remain in the end niche player in that. So we see some opportunities. We grab some possibilities in the NAND business last year and we're looking around there. We will not brought player in that market also not in the future but for certain applications when -- we see some opportunities and when they come across and we will go after them.
Tammy Qiu: Okay, I see. And in terms of boundary logic market for ALD. Everyone is kind of ramping up their parameters to less 7nm and into 7nm next year. And maybe 3, 2 years later. Do you have any visibility in terms of what if the share of your addressable application? And then the new designs, you get notified by your customers at this stage that you will be involved as much as you can today? Or you will only know. And, once they only tell you closer to the launch date?
Peter van Bommel: No. You will appreciate that I cannot give details our customers. But I can assure you that we are fully aligns with our customers and all these new developments and that we expect that our share in the future will also increase.
Operator: We'll take our next question from Mabel O'Connor, Exane.
Unidentified Analyst: Just wanted two from my side sense. Firstly, just looking at the order intake. No clear, that kind of €200 million level for first time in the 2 consecutive quarters, Q4 and Q1 regarding for this endeavor. Just thinking in the long term, are we now at the business strong enough that we are now -- you are now probably readily able to clear that €200 million order intake? Or do you think there's some exceptional things happening at the moment to enable those things?
Peter van Bommel: Yes, that's a $100 billion question, of course. We think that the actions that we have taken in the past year, so the in loads that we have made, are leading position at ALD. The inroads that we are making PECVD. The epitaxy business where we are making inroads, that's its not impossible to reach that level more often because we always have indicated that we want to go for growth and we are preparing ourselves or so and in full for that and mention already earlier, that we are increasing our capacity is there to be able to deal with that, offers, that could always be a simple form of simply galloping the business so there might be some deviations and that but to give you the short answer. Yes, we think that we can reach that sort of levels more often than what we have done in the past.
Unidentified Analyst: That's very helpful thank you. And maybe just a follow-up invention increase investments in Korea and Singapore. How should we think about OpEx, excuse me, on CapEx for 2018 and 2019? As you ramp up those subsidiaries and the type of impact on DNA?
Peter van Bommel: We think that the impact on -- in 2018 and 2019 in both she is could be a few tens of million. The DNA impact mostly when you do this of investments, they have a long depreciation time.
Operator: We'll go next to Edwin de Jong with NIBC.
Edwin de Jong: Few questions first on the capital friendly return of the €4. You just need to be at end of all the initials that you have to be returning fiscal friendly money to the shareholder? And secondly, maybe on the Hitachi Kokusai disputes in the patents. It's regarding the batch ALD patterns I think? And could you elaborate maybe a little bit on what you are seeking? What they are seeking? Are you seeking monetary benefits, good effect operations in one way or the other. Good to say just a few words on that?
Peter van Bommel: Okay, the first question is about the fiscal friendly very offer dealing with it. It has to know the share premium of one can -- the fiscal share premium and with €4 at this moment in the region the end of -- on that possibility. So -- with regard to our Hitachi Kokusai, a few things but I can give you the only color that I can give you is that we started and arbitration case against Hitachi Kokusai already in August be followed suits -- patent infringement by the end of November. They counted to us this also for infringements and they brought in a new suits also in -- a few weeks ago. So the only thing what we can say about us that we are diligently persuading Cassis is so we would vigorously Hitachi Kokusai's claims to protect on a strong IP position. Now we strongly believe that, that's their claim like made it.
Edwin de Jong: Yes, with then you were the first with Hitachi I think? And what do you see? Do seek many or do see that stop producing? Or what is that exactly what you want?
Peter van Bommel: No, that are the things that we have not disclosed yet.
Operator: We'll go next to Charles Lepetitpas with Natixis S.A.
Charles Lepetitpas: Two questions on my site. First on the gross margin, you said you expect them to normalize during the year so should we expect the gross margin to come back at 44% level by the end of the year? And second question on the R&D side, I was a bit surprised to see that capitalize R&D bounced a bit in Q4 so what should we expect on that side for 2018?
Peter van Bommel: Yes, first of all the gross margin. Yes, I don't want to bring here to the community that 44 is the ideal gross margin percentage. We've always have said to the gross margin will be low to mid-'40s and more going into the direction of that mid-'40s than in the low '40s. And that's I think what we still expect looking to 2018 as a whole. When you look to the R&D. We capitalize R&D part that increase in the quarter that's also partly reflecting the fact that we are with our R&D programs now we are working -- more working to words with the customer and the moment that you are more in the final stage of some R&D projects and at that moment, you start capitalizing a little bit more. So I think that the trends there might a little -- my to stabilize at a certain moment. I think that Q4 will not be a reflection of what you might expect every quarter I would like to make a correction I said earlier because I said their market share growth but of course, what I mean is that we think that we will have increases in the share of wallet of the different customers. And that's a logic/foundry because that's related to logic/foundry business.
Operator: We'll take a follow-up from [indiscernible] with Kempen & Co.
Unidentified Analyst: Just a follow-up on the DRAM. I was perhaps a mistakenly thinking that it will be quite some Weber and started additions to the DRAM spaces especially, in Korea this year. But you said you only expect a couple of shipments, couple of tools so does that imply we don't -- we should not expect a strong rebound in DRAM 2018?
Peter van Bommel: No, I think it's misunderstanding. So we had very long sales in DRAM towards the end of last year, while the market and principal for DRAM is picking up and that had to do due to the reduced search of equipment because they think we reached the capacity and all the factories. What we now expect for the latest guidances. We expect our DRAM related ALD sales to improve compared to both the first half and the second half of last year in the course of 2018 and that's driven by the fact that we now expect that more new DRAM capacity will be established in completing factories. So that will highly likely lead to toward the additional order especially multitalented solutions?
Unidentified Analyst: What's up in your that's what the year. Could you quantify but maybe a bit more it was such a week year, last year, like you said maybe 2016 wasn't the greatest one either. So should we compare it to 2015 hours or is that maybe a bit too optimistic?
Peter van Bommel: I think that we will give some more color in the future but we are not going to give guidance on this moment with regard to that already for the rest of 2018.
Operator: And I will take a follow-up from Robert Sanders, Deutsche Bank.
Robert Sanders: Just one question on this 2018 outlook. I think someone asked earlier, I think quite catch the answer. But your exciting to grow faster than the equipment market, which is growing at high single-digit. But I -- that's in dollars right? So in euro, that would be a different story. So are you referring to your euro growth being better than your high single digit or your dollars-based growth in 2018?
Peter van Bommel: We refer to a euro growth providing that the U.S. dollar is relatively stable during the remaining part of 2018.
Operator: And we'll go now to a follow-up from Marc Hesselink, ABN AMRO.
Marc Hesselink: Apologies if I missed something. I was shortly disconnected from the call. But on the ALD market size, the €1.5 billion, I think in the last call we discussed that in the market has been stronger and you said the market growth and maybe it's time to look at to the number. Did you look at the number? Or did you simply kept the old number and you will do that potential upgrade rate somewhere in the future?
Peter van Bommel: Yes, what we are doing is we review our forecast from time to time, but for now we assessment of the of €1.5 billion U.S. market in 2010, 2021.
Unidentified Analyst: Yes, so, you didn't think it was time to do assessment right now? Or you simply didn't do the assessment?
Peter van Bommel: We do on a regular basis, that assessment. Yes, but our conclusion is that we do not see any reason on this moment to deviate from the €1.5 billion market.
Operator: And with no further questions, I'd like to turn back to Peter, for closing remarks.
Peter van Bommel: Okay, all right, I would like to thank you all very much for your questions today. Let's stay in touch in the coming months and any follow-up questions that you may have, of course, feel free to contact us. Thanks again, and enjoy the rest of your day. Bye.
Operator: That concludes today's conference. We thank you for your participation. You may now disconnect.